Executives: Jason Kiser - Treasurer R. Stanton Dodge - Executive Vice President, General Counsel and Secretary Joseph P. Clayton - Chief Executive Officer, President and Director Robert E. Olson - Chief Financial Officer, Principal Accounting Officer and Executive Vice President Charles W. Ergen - Co-Founder and Chairman Thomas A. Cullen - Executive Vice President of Corporate Development Bernard L. Han - Chief Operating Officer and Executive Vice President
Analysts: Philip Cusick - JP Morgan Chase & Co, Research Division Bryan D. Kraft - Evercore Partners Inc., Research Division Marci Ryvicker - Wells Fargo Securities, LLC, Research Division Douglas D. Mitchelson - Deutsche Bank AG, Research Division Benjamin Swinburne - Morgan Stanley, Research Division Vijay A. Jayant - ISI Group Inc., Research Division Jason B. Bazinet - Citigroup Inc, Research Division Thomas O. Seitz - Jefferies LLC, Research Division Tuna N. Amobi - S&P Capital IQ Equity Research Devon Xu Andy Hargreaves - Pacific Crest Securities, Inc., Research Division Craig Moffett - Moffett Research, LLC Jason Armstrong - Goldman Sachs Group Inc., Research Division Walter Piecyk - BTIG, LLC, Research Division Richard Greenfield - BTIG, LLC, Research Division
Operator: Good morning. My name is Michelle, and I will be your conference operator today. At this time, I would like to welcome everyone to the DISH Network Corporation Q2 2013 Earnings Conference Call. [Operator Instructions] I would now like to turn the call over to Mr. Jason Kiser, VP, Treasurer. Please go ahead.
Jason Kiser: All right. Thanks, Michelle. Thanks for joining us, everybody. This is Jason Kiser. I'm the Treasurer here at DISH Network, joined today by Charlie Ergen, our Chairman; Joe Clayton, our CEO; Tom Cullen, Executive Vice President; Bernie Han, COO; Robert Olson, CFO; Paul Orban, our Controller; and Stanton Dodge, our General Counsel. Before we turn it over to Joe and Robert for their prepared remarks, we do need to do our Safe Harbor disclosures. So for that, we'll turn it over to Stanton.
R. Stanton Dodge: Thanks, Jason, and good morning, everyone, and thank you for joining us. We ask that media representatives not identify participants or their firms in your reports. We also ask -- we also do not allow audio taping and ask that you respect that. All statements we make during this call that are not statements of historical fact constitute forward-looking statements, which involve known and unknown risks, uncertainties and other factors that could cause our actual results to be materially different from historical results and from any future results expressed or implied by such forward-looking statements. For a list of those factors, please refer to the front of our 10-Q. All cautionary statements that we make during this call should be understood as being applicable to any forward-looking statements we make wherever they appear. You should carefully consider the risks described in our reports and should not place undue reliance on any forward-looking statements, which we assume no responsibility for updating. And with that out of the way, I'll turn it over to Joe.
Joseph P. Clayton: Thanks, Stanton, and good afternoon to those of you on the East Coast and good morning to our West Coast participants. I know that there continues to be a lot of interest in our spectrum plans, so Charlie and Tom Cullen are also here to take your questions on wireless a little later. Today, I'm going to focus the majority of my remarks on our core pay-TV and broadband businesses. As you all know, we rolled out our all new Hopper with Sling product in January with great fanfare. This second-generation Hopper, winner of the 2013 CES Best of Show award, and more recently recognized with PC Magazine's 5 Star rating and Editor's Choice award, was engineered with today's customer in mind, with such consumer friendly and DISH-exclusive features as PrimeTime Anytime, AutoHop, a 2 terabyte hard drive for storing up to 2,000 hours of storage, a remote control finder, SiriusXM commercial-free music and DISH Anywhere, Hopper Transfers and DISH Explorer. It is DISH's goal to provide the consumer with the best possible video experience. And with the Hopper with Sling, he or she can upgrade their viewing experience in the home [ph], not at home [ph] at their time [ph]. At [ph] last count, Hopper has received 17 national awards. Hopper is simply the best as voted by the consumer electronics' industry pundits. Other companies simply cannot [ph] understand that no other provider can match the experience that is now available for our Hopper experience [ph]. Apple clearly believes that the combination of the Hopper with Sling and the iPad creates a superior customer experience. And as you all know, Apple chooses its partners very carefully and extends its brand name only to the best of the best in its marketing efforts. In May, we launched an exciting promotion with the Apple iPad. When qualifying DISH customers purchase a Hopper with Sling, they have the option of receiving an Apple iPad instead of traditional programming discounts. It is without a question the ultimate consumer bundle. The Hopper gives customers the ability to transform their tablets into second TVs. These features, communicated through targeted marketing and our innovative bundled product promotion, have resonated with our high-value customers. In fact, the success of the Hopper with Sling has been confirmed by the increased Hopper attachment rate in the quarter, which drove higher SAC investment. So in some ways, we're a victim of our own success. But we'll make that bet every single time in order to attract high-value customers that generate better ARPU and NPV. And also as a by-product, we're also seeing a higher referral rate from our Hopper subscribers. Now Robert will give you all the additional SAC details in a few minutes. But thinking long term, we believe Hopper subscribers, especially those with tablets, are the right high-value customer targets for DISH. Now as you all know, certain broadcasters will not run our Hopper television commercials, given our position of standing with the American consumer in regards to their right to skip commercials. Obviously, we've already won this battle in the court of public opinion. We've now also won in the court of law. Three weeks ago, the Ninth Circuit Court of Appeals affirmed the California federal court's denial of FOX's motion for a preliminary injunction against DISH's AutoHop and PrimeTime Anytime features. So the battle over consumers' rights for choice and control wages on. Stay tuned, as they say in the TV broadcasting business. So we refocused our marketing efforts on cable TV, print, billboards, radio, online and social media. Also, to further expand our Hopper message of a superior consumer experience, we partnered with another American iconic brand that epitomizes excellent customer service: Southwest Airlines. Southwest also provides us with a direct traveler linkage to our Hopper with Sling product. Again, these are ideal high-value potential consumers: affluent, frequent travelers and a great likelihood to own a mobile device. Now when you fly Southwest, DISH will provide WiFi-enabled video service absolutely free. Normally, it's a $5 charge. The Southwest customer will view our national TV spots featuring the iPad offer and instructions on how he or she can purchase DISH's Hopper. They also receive Southwest's frequent flyer points when they sign up for DISH. Our DISH message appears on the flyer's confirmation document, boarding pass and monthly frequent flier statement. We also have high brand visibility in airports and in Southwest's own in-flight magazine. And of course, the energetic Southwest flight attendants deliver the DISH offer announcement on the plane. The promotion started July 1. Now in addition to the Hopper, our dishNET launch continues to be a success. Quick recap, in October of last year, we introduced a new broadband satellite service, which makes faster speeds, greater capacity and lower cost available to a market of more than 15 million unserved or underserved American homes. In the second quarter, we continued to experience solid broadband satellite growth. And because most of our broadband satellite customers are bundled with pay-TV, DISH's strategy to leverage its operational scale is succeeding. Now let's move on to the second quarter numbers. We faced fierce competitive pricing pressures, aggressive promotions, a weak economy and new video providers in the second quarter. Of course, this is traditionally a soft sales period for the industry. In pay-TV, we lost 78,000 customers, which was partially offset by adding 61,000 dishNET broadband subscribers. We stayed the course of growing our base of high-value customers, and we continued to increase the percentage of customer activations with HD, DVR and IP connections. And given our first quarter price increase, our first hike in 2 years, we were pleased with our churn results at 1.67%. Now to provide you all with additional details on our financial performance, here's our CFO, Robert Olson.
Robert E. Olson: Thank you, Joe. Clearly, there were a number of onetime items impacting the second quarter, the largest of which was the $438 million impairment charge we took on 2 of our AWS-4 satellites, T2 and D1. Based on the FCC's recently issued rules on our AWS-4 authorizations and our analysis this quarter of likely potential commercial uses, we concluded that these satellites represented excess capacity. We evaluated potential market values for selling these satellites or components of these satellites, and as a result, have written down the net book value. While we have no requirement to use a satellite component, we are currently planning to use our remaining AWS-4 satellite, T1, in the commercialization of our spectrum. If you pull out these impairment charges, our second quarter operating income was roughly flat year-over-year. As Joe noted, subscriber growth is typically challenging in the second quarter for most pay-TV providers, and we were no exception. Our pay-TV business was down 78,000 subscribers, which was weaker than last year, but better than second quarter 2011. The shortfall was largely driven by weaker gross activations as our churn of 1.67%, up 7 basis points year-over-year, was about where we expected given the impact of the price increase this year. Our broadband business continues to experience solid growth. Gross activations of 79,000 in the quarter were significantly higher than the 21,000 activations we achieved in second quarter last year and roughly on par with the 83,000 activations we recorded in first quarter. We ended the quarter with 310,000 broadband subscribers. Subscriber-related revenue was up $161 million or 4.9% in the second quarter compared to last year. This growth was largely driven by pay-TV ARPU, which is up $3.31 or 4.3% year-over-year. We saw the entire benefit of our price increase in this quarter, but this impact was partially offset by weaker pay-per-view revenue year-over-year. We expect pay-per-view revenue to rebound to more normal levels in the third quarter. In addition to the pay-TV ARPU growth, subscriber-related revenue was up $25 million due to year-over-year growth in our broadband business. Subscriber-related expenses increased by 5.5% in the second quarter versus last year. This increase was largely due to higher programming expense. The year-over-year increase was less than recent trend, largely driven by the lower pay-per-view activity. Our SAC for the quarter was $882, which was flat with first quarter, but up $82 year-over-year. Increased brand advertising associated with the launch of the Hopper with Sling accounted for $12 of the increase. Increased capital expenditures drove $49 of the increase, the majority of which was due to higher offer take rate. Our Hopper take rate was up sequentially and year-over-year. Of course, increasing our Hopper take rate is a positive, as we will have more of our customers with the best technology in the industry. Also, as the Hopper mix in our base gradually increases, ARPU will also gradually increase given the price differential versus our older HD technology. Our Blockbuster business had an operating loss of $5 million in the quarter. Second and third quarter typically have weaker results due to lower product sales revenue. We ended the second quarter with approximately 450 domestic stores. We are currently planning to close roughly 100 underperforming stores by the end of October. Administrative expenses were down $51 million year-over-year in the second quarter. This reduction was a result of fewer Blockbuster domestic stores and the de-consolidation of the Blockbuster U.K. business. The reduction in Blockbuster expense was partially offset by $18 million of legal and financial advisory fees in the quarter related to the proposed Sprint merger. While depreciation expenses were relatively flat year-over-year, we incurred elevated depreciation both this year and second quarter last year. The accelerated depreciation this year was associated with $53 million of certain ground facilities supporting the TerreStar MSS business. This business had less than 2,000 customers, and we decided to cease operations in the second quarter. Interest income was up $24 million year-over-year, driven by the higher balances of cash and marketable securities. Interest expense is up $106 million year-over-year, largely due to the issuance of new debt during 2012 and 2013. We incurred $30 million of onetime interest expense in the quarter due to premiums, interest and financing cost associated with the $2.6 billion in debt we raised and then redeemed within the quarter tied specifically to the Sprint deal. Other income increased year-over-year, largely due to the $76 million of unrealized gains on the Sprint derivatives which we marked to market. We generated $263 million of free cash flow in the quarter and $638 million through the first 6 months despite the increase in Hopper demand. There were a few major changes in the balance sheet compared to first quarter. We issued $2.3 billion of debt on April 5. That debt, coupled with the cash flow we generated in the quarter, helped to drive up cash by $1.2 billion and marketable securities by $1.3 billion. Let me now turn it back to Joe before we start Q&A.
Joseph P. Clayton: Thanks, Robert. Our plan, our direction remains the same: to grow high-value customers and to increase revenue, while making the strategic investments for our future. Thank you, everybody, for joining us today for our second quarter earnings call. Now we are going to open it up to your alls questions. We'll start with questions from the financial analysts. And when we're finished with those, we'll open the line up for questions from the media.
Operator: [Operator Instructions] Your first question comes from Phil Cusick from JPMorgan.
Philip Cusick - JP Morgan Chase & Co, Research Division: I guess, Charlie and Tom, if we can start out on the LightSquared effort, can you talk about how that would fit into the existing spectrum that you have? And then second, for Charlie, does the excess cash on the balance sheet create any urgency for you to do something in addition to LightSquared? Or is that sort of -- you look at that as a cost of your optionality?
Charles W. Ergen: This is Charlie. Second part, obviously, we have a lot of cash and we're just -- we're not going to do something just to do something. So we have some negative arbitrage there, but it's good to be in that position, and it does -- so I think that if there's opportunities out there, we'll take advantage of them. And as far as LightSquared, it's kind of a unique property with a lot of problems. They've been well documented over the years. The reason, we think, it's interesting to us is because the spectrum potentially could fit with the existing spectrum that we have in long term. And realize that the LightSquared is very similar to what DBSD and TerreStar were like in the sense they were essentially satellite companies' MSS spectrum, but the real value was terrestrial so. And all of them kind of failed as satellite operators only. So putting all that spectrum together, at the same time maintaining the ability to use the satellite for voice and data makes a lot of sense. And so we're -- because of our history as a satellite company, we understand that part of it a little bit better, and we think that fits together pretty well with what we're doing. So that's why we're interested in that. It's obviously a long-term play. It's obviously something that has a lot of hoops to jump through in terms of from a regulatory point of view and in terms of a technical point of view on the spectrum. So it's challenged, and if you could take a long view with that particular spectrum in my opinion.
Operator: Your next question comes from Bryan Kraft from Evercore.
Bryan D. Kraft - Evercore Partners Inc., Research Division: Charlie, I just want to ask you -- I mean, since you've abandoned the Sprint pursuit, how do you view the attractiveness of the mobile wireless business today, given the increasing competitive intensity? How would you compare now the attractiveness of network sharing versus acquiring an operator? And if you think about the inherent attractiveness of Sprint versus T-Mobile, how would you contrast those 2 potential opportunities?
Charles W. Ergen: Well, I mean, I don't think anything has really changed. I think that obviously, in the pursuit of Sprint and Clearwire, obviously, we learned a lot, and we continue to learn more about the industry. We certainly learned a lot about those 2 companies. So strategically, we still think everything that we really talked about in the last few months, in the last few years is still -- this is important today as it was then, which is, how do you kind of put communications inside the home and outside? How do you put those together into one national company? And wireless is a big part of that. So we're still very bullish on the wireless side of the business. It is becoming a more cost-competitive industry. Certainly, I think the recent transactions of Leap to AT&T and SoftBank's success with Sprint and Clearwire will make both those companies more formidable in terms of going forward and so forth. Obviously, when you put networks together, to the extent that you can do that with an existing operator, or do that in a network sharing way, that's probably a preferred way to do it. And so I think there's going to be some opportunities for us when we look at that, and we're just going to make good rational decisions. And again, I think you can make good rational decisions when you have full knowledge. And we spent the last 5 years gaining an awful lot of knowledge, and I think that ultimately that will pay us dividends as we decide strategically how we move forward.
Operator: Your next question comes from Marci Ryvicker from Wells Fargo.
Marci Ryvicker - Wells Fargo Securities, LLC, Research Division: Just a follow-up to one of the earlier questions. You have about $9.5 billion of cash and securities on hand, I think another $500 million-plus coming in the third quarter post the sale of Sprint derivatives. So at what point would you consider buying in some of your float maybe via a share buyback? That's the first question. And then the second question is the latest retrans fight between CBS and Time Warner Cable seems to highlight a change in the definition of television or pay-TV to now include digital. So do you agree with the statement? And then secondly, if you do, do you think the change to the definition of pay-TV is material enough whereby it could help ease the regulatory environment should DISH and DTV look at some opportunity to merge?
Charles W. Ergen: I'll take the first part of that. It's Charlie. Nothing's really changed. We look at our cash balance and look at share buybacks, and that's an option. And obviously, the options are to first and foremost is manage, and we hope we can go out there and invest that capital in other businesses and grow our business and do something strategically that would ultimately return a greater value to our shareholders over time. Having said that, that's not always possible in the marketplace and share buybacks certainly can be considered. I think we have a plan that's been approved by our board to do that to some degree. And obviously, we could look at dividends. Now obviously, we looked at dividends when the tax rates were changed. And that's less attractive to us today. But I think -- I guess the way I'd sum it up is, first and foremost, we'd still think the strategic things we can do with our capital. That's where we prefer to do it. But absent that, we would consider share buybacks and less likely to do dividends based on tax implications of that today. Tom, did you want to take the...
Thomas A. Cullen: Well, Marci, on the definitional, clearly, the lines are blurring between traditional delivery methods and digital. But in this particular dispute, and I think you saw some chatter about this yesterday, the fact that a DISH subscriber could also be a Time Warner Cable broadband subscriber bothers us that our customers would be brought into the fray on a dispute between Time Warner and CBS.
Charles W. Ergen: And then I guess the last part of the regulatory process. Certainly the marketplace is materially different than last time we tried to merge with DIRECTV in the sense that you've got -- in fact the 2 growing -- the 2 actual growing people in the pay-TV business are phone companies. They didn't really exist in the business last time we tried it. And then of course, you have almost an unlimited number of people now on digital Internet getting into the business, whether it be from Netflix to Hulu to Amazon to everything else that you can do on the Internet. And that's only going to grow. So clearly, it's a different environment from a regulatory point of view. One doesn't always know the way the regulators think. But my experiences with the regulators has been, they understand the market pretty darn well. And they see the same things that we see. So I think it's a different environment today.
Operator: Your next question comes from Doug Mitchelson from Deutsche Bank.
Douglas D. Mitchelson - Deutsche Bank AG, Research Division: One for Charlie and one for Joe. I'll ask Joe first. You've highlighted the Hopper a few quarters now, as this pure product and SAC costs are higher, as high as they've ever been. Now why is that not translating into flatter growing gross additions year-over-year if you have a better product to sell in market? And as part of that, how should we think about the iPad promotion versus return on investment levels for new subscribers? And then, then I'll have one for Charlie.
Joseph P. Clayton: All right. I'll try to take that. Robert, you'll help me with the iPad investment piece. Yes, we've lost some subscribers, but that does not mean we haven't sold a better mix of product. We're replacing some low-end subscribers, customers with better higher-value Hopper customers, if you will. Now we will get some relief in terms of the SAC from a product cost basis as we ramp up the volume with the Hopper with Sling product. And that will start kicking in really late this quarter, but more appropriately [ph] in the fourth quarter. As you ramp up your volume, you get economies of scale and the product cost will come down. That's just the basic function of consumer electronics.
Robert E. Olson: Doug, this is Robert. I think we've made it fairly clear that in order to qualify for the iPad promotion, the customer needs to have a higher credit score. And so we start off with customers that are taking this product being better customers to start with. An additional part of the economic equation is that we expect referrals from customers who have Hopper with Sling and have the iPad. It's a great product. They'll be taking it with them everywhere they go. So when we look at the economics, we think of them pretty positively.
Douglas D. Mitchelson - Deutsche Bank AG, Research Division: Great. And then Charlie, I was just hoping to get you to expand a little bit more on your wireless commentary. So let me try it this way. I think you've noted in the past, the wireless sector is likely to consolidate down to 3 or 4 operators. And there's an investor perception that the only wireless partner that you really have left that makes sense to work with is T-Mobile. And I know you just mentioned network sharing with others as an option. But can you comment at all about the viability of competing with these larger wireless operators without being a part of one?
Charles W. Ergen: Yes. I mean, I think you -- I mean, I think -- I don't think you can compete if you just did the same thing they were doing. That's why I think video is such a big part of what potentially can be done from a wireless perspective. And I think where we would have an advantage and why we would be a very good partner for one of the wireless providers in the sense that we can give them something that differentiates. One of the things that always struck us as difficult on the Sprint acquisition for SoftBank was, at the end of the day, it was still going to be Sprint. And we -- and they didn't bring any spectrum. They didn't bring anything that was different. What they do bring, obviously, is capital and tremendous expertise and creativity. And so I assume that they will find ways to compete very well. But they don't really -- they're not going to compete on geography, and so they're going to have to compete on price. And so I think there's still a lot of opportunity for us. And I think that opportunity -- certainly, T-Mobile from a -- this is a company, you could put that together with DISH in any number of ways, including an acquisition or a merger, and that's probably not possible with the other wireless providers. But having said that, I think the other wireless providers do provide us some pretty good options. And I think in an ironic sort of way, Sprint becomes a really kind of an interesting potential partner for us as well, and I think people just assume maybe that, that's not the case. But the fact is, we actually understand Sprint and Clearwire probably better than we do any of the other wireless providers. Certainly, I think Sprint and Clearwire understand us pretty well and certainly understand that -- certainly understood the synergy and the strategic reason why we are an attractive option. I think we were just too late to the party. We got hung up in regulatory and there just wasn't an opportunity to convince the special committee that they could wait another 6 months to a year to take a chance on us when they had essentially somebody at the table who was willing to step up and pay today. So I think that there's a lot of optionality for us in the wireless business. I don't think that has changed any. Unless you just look at a full-blown acquisition or a merger and really, that's probably only T-Mobile at this point in time.
Operator: Your next question comes from Ben Swinburne from Morgan Stanley.
Benjamin Swinburne - Morgan Stanley, Research Division: Charlie, just sticking down the Seinfeld strategy route of line of questioning. I was wondering, given all the time you've spent in D.C. over the last several years, a couple of things they have to decide over the next few years. One is on the incentive auctions and the other is on spectrum caps. I'm wondering if you have a view on how either of those shake out and particularly how the spectrum cap might impact AT&T, who a lot of people think is a natural buyer of your spectrum. And then on the incentive auctions, whether you'd be interested in acquiring any of that spectrum since you've generally been a buyer over the last several years on the spectrum side? And I guess I'll leave it there.
Charles W. Ergen: Well, I don't know where the -- obviously, we have a new FCC Chairman coming on board this fall. So I think he'll take a fresh look at spectrum caps. And generally, the Democratic side has been more in favor of competition and new entrants. Typically on the Republican side, it's been a bit more laissez-faire, let the marketplace decide it. So I assume that the new commissioner will be -- will still continue some of the policies of the past. But I do think that all wireless providers will be able to get more spectrum, and as more spectrum becomes available, that they will be able to increase the spectrum that they have so. And that's going to come in obviously in the form of auctions and so forth. We participate in most auctions. We'll continue to participate in auctions. We don't see anything -- the H-Block unfortunately is not as attractive to us if it's auctioned by itself today, as things stand today. Because it doesn't really provide -- it's really -- doesn't provide us much because it would be uplink spectrum for us that -- we need more downlink spectrum so, but it doesn't mean we wouldn't participate. I mean, obviously, we want to make sure a fair price is paid in the marketplace so. And you never know what people are going to pay, so it always makes sense to show up. So I would expect that we would show up in most auctions, although the H-Block is not particularly attractive as things stand today. The incentive auctions for the broadcaster spectrum of course has a lot of hoops that the commission and the broadcasters will have to jump through to make that available. If it's made available, and we've made a lot of comments on the public notice, and it comes in a form and format that's generally along the lines that we've suggested, and we generally agree with where the FCC is on that, that I think you would see us participating in that.
Benjamin Swinburne - Morgan Stanley, Research Division: And then just a follow-up on your comment before about DIRECTV, DISH and now things are different today than 10-plus years ago, how would wireless -- your wireless vision be impacted by a combination? Would the combined cash flow and sort of borrowing capacity, firepower of the 2 companies mean you wouldn't even need network sharing? You could enter the market on your own? Or is it still something that you think that you need to partner if you were -- even if you were a bigger business?
Charles W. Ergen: It's an interesting question. I think there's a couple of things. One is that, I think I heard Mike White's comments, John Malone's comments, I think you have a general kind of momentum, gravity towards consolidation, in part because the programming partners have gotten so powerful that their rates are going up at 4x or 5x the rate of inflation. And we got into this -- we got into the video business because cable companies as monopolies were raising their rates 3x the rate of inflation year after year after year. The government worked with -- to open up new competition. We were able to enter the marketplace. We've got almost that going on, plus even a little bit more in my opinion, where the programmers themselves are really in a way monopolies. There's 5 big programming groups. They're essentially monopolies. They're raising their rates at double-digit rates, inflation's 1% or 2%. And so I think that just -- and really, Congress really hasn't done anything to level the playing field. So you see it in retransmission disputes, you see it in other disputes. So I think that, that forces people towards consolidation to kind of level the playing field. So I think that from a regulatory point of view, that's more achievable today than it ever has been because it's just too one sided today and the consumer's losing out on that. And then of course, secondarily, there's new competition coming, whether it be from the phone companies themselves or from the Internet that didn't exist before. So I think the marketplace is probably fairly attractive for consolidation of the video business. It might happen in cable first, and that may force the satellite guys to look at different things. And then I think the other thing that's interesting is -- having said that is, our strategy has been a little bit different than DIRECTV's in the sense that we thought that wireless or outside the home is part of what we would like to do and what would make us successful and transform us. They may not necessary be in agreement with that. And so you might not ever be able to put the companies together because you just have a different strategy and -- or it's possible we don't have the right strategy, that we have to look -- we're not married to any particular strategy if events change. And it's possible that if we couldn't be successful in the wireless business that we would just sell our spectrum. And so then our strategy would be aligned with maybe where DIRECTV is today. So if we couldn't convince DIRECTV that wireless made sense, and they convinced us that -- or the marketplace or the regulators, we just couldn't get in the wireless business. And as I said many times, we're not suicidal about it. We'd exit the wireless business and sell our spectrum and then we'd be a video play. So all those options are available for us. I like where we are strategically. I think we still have the same optionality that we've had for the past year with the exception of possibly Sprint Clearwire being maybe a different kind of option for us than it was before. And my experience has been that, there's going to be events that trans -- fold that are going to force us in a certain direction that makes sense for our shareholders. And we will continue to look at whatever we do strategically to be the right long-term decision for our shareholders and for our employees.
Operator: Your next question comes from Vijay Jayant from International Strategy.
Vijay A. Jayant - ISI Group Inc., Research Division: Charlie, one piece, the LightSquared transaction, I'm just trying to get some clarification. Is that you personally buying the spectrum and then eventually selling it to DISH in some undulant agreement? And then for Robert, obviously, the broadband business is the growth aspect of the company right now. Can you go sort of give us some more clarity? You mentioned it's got similar economics to pay-TV. But any color on what the ARPU, SAC and gross margins are on that business for you? Really appreciate it.
Charles W. Ergen: Robert, you want to start that?
Robert E. Olson: Yes, I'll start with the broadband. I think we perhaps talked about this before. But we think long term, the broadband business will have similar subscriber acquisition economics, so the net present value of acquiring a subscriber as the pay-TV business. We're not there yet. We've still got a lot of work to do to improve our customer service, our operations, real blocking and tackling work. But we're moving forward, pretty much every quarter we're getting a little bit better. Churn is a big thing that we're working in the broadband business. It's not quite down to the pay-TV level, but we expect it will be. I think we've mentioned before that generally SAC is a little bit lower in broadband and ARPU is a little bit lower right now on broadband. So SAC in the $600 range and ARPU in the $60 range.
Charles W. Ergen: And the nice thing about -- it's Charlie -- in broadband, the content cost is down, like 0 so, and stays down. So that's the attractive part of the broadband side. As it relates to LightSquared, I mean, obviously, this is all public information. But I did -- my understanding was that there really wasn't a corporate opportunity for DISH, but I did buy debt personally in July. The court has indicated that they will take the exclusivity period for the company management to make bids in bankruptcy is gone, so that any company can make a bid in bankruptcy. DISH and the special committee and independent Board Of Directors and the Board of Directors decided that they wanted to make a bid in bankruptcy of about $2.2 billion. And so that's the path that DISH is pursuing. So ultimately, how that shakes out -- and they got the support of basically the ad hoc committee of lenders to support the DISH bid. The judge has kind of rejected that in the sense that they want DISH to come in with the management of LightSquared. Certainly, DISH will work with LightSquared management to see if they can come to a conclusion on preparing something with management support. I'd say the timing is an issue there. And at some point, DISH might not be interested from a timing perspective with LightSquared. I think it's an asset that has had so many difficulties that it's one that there becomes a point in time when maybe it's not as attractive to where DISH wants to go. So I'm in an awkward position obviously, so a lot of the stuff is done external to me. But right now, strategically, it seems to be the right thing -- a good fit for where DISH wants to go. So we'll see how it plays out. But bankruptcy is difficult and judges make a lot of decisions. And there's lots of people that have a stake in a bankruptcy, and you can't always herd everybody to the same conclusion. So it's not a must-have for DISH. It's certainly something that seems attractive to DISH versus other potential investments, but it's certainly not a must-have. It's not certainly something that -- as you know, we would be disciplined in our approach, and we'll remain disciplined with LightSquared.
Operator: The next question comes from Jason Bazinet from Citi.
Jason B. Bazinet - Citigroup Inc, Research Division: I just had one more question on the LightSquared stalking horse bid. It seems like there's a fair degree of uncertainty on a couple of different dimensions, how much spectrum -- whoever buys the asset ultimately gets. What the Inmarsat payment is. And so in the context of your $2.2 billion bid, would you just mind taking a second and just in broad brush strokes, laying out sort of the bull case and bear case in terms of what you would hope to achieve if you ultimately succeed in buying that asset?
Charles W. Ergen: This is Charlie. I don't know if I can do that, that well, but I think there's different elements. Certainly, there is -- there would be with LightSquared, at a minimum, uplink and downlink to satellite spectrum. It would have some value in the sense of an existing business of machine-to-machine or handsets to a satellite. That's irrespective of probably the kind of conflict they've had with the GPS industry and Inmarsat per se. The second thing is, there is a -- the second piece of it, they do own some spectrum outright. I think it's 18 megahertz of spectrum outright. Some of it's conflicted, that has some kind of value. Certainly long term, you would work with the GPS industry to try to clear some of that spectrum. And some of that takes a long time to do. And then thirdly, there's the potential lease of additional spectrum from Inmarsat and Inmarsat clearing that spectrum and the payments that go to Inmarsat to clear that spectrum. And so you look at -- you kind of look at the value of LightSquared and say, "What are the odds that you're going to get any -- that some of those pieces are going to come to fruition and some of them aren't?" And that's kind of how we looked at it, and that's kind of how we came up with $2.2 billion as kind of a price between the satellite assets and the spectrum assets, assuming that perhaps Inmarsat is not something that continues the way people or the way LightSquared thought was -- initially entered in a contract. And also looking at some of the -- and also making the calculation that some of the spectrum will be impaired for a considerable period of time. So again, as a result of that, it's not quite as cut and dry as some of the other things we've done when you look at the thing. I think there's a lot more -- there's a lot more betting on the come on LightSquared than perhaps some of the things that we've done before. And you have to -- but having said that, we know the government wants to free up more spectrum. We know that we're in a spectrum shortage. We know the government wants to see spectrum put to use. But I think this administration has generally been -- and this FCC has generally been supportive of entrepreneurship and creativity. And our feeling is that, that there's a desire on the government's part to free up the spectrum. And all the hoops that the government's jumping through to free up spectrum for auction, there does exist spectrum in LightSquared that can be freed up with the desire for people to compromise and look at technical solutions. And we think we're a perfect company to go out and do that kind of thing because we have a long-term view of it. So that's how we look at it. The bear case would be that you just have some satellites and some long-term spectrum. And the bull case would be that you -- the real bull case would be you'd free up 40 megahertz of spectrum. I'm not that bullish, but that would be the bull case.
Operator: Your next question comes from Tom Seitz from Jefferies.
Thomas O. Seitz - Jefferies LLC, Research Division: Charlie, no one disputes that wireless data traffic is growing through the roof. But what I think has some people surprised is how much of the traffic growth is shifting to WiFi, certainly, in the home, but increasingly out of the home as well. So two questions, if I could. Do the business models you contemplated when making the spectrum investments anticipate that phenomenon? Do you think it even matters? And then second, do you worry at all that when Washington starts to dig in on this, that there's the risk that they begin to allocate materially more spectrum to unlicensed uses, potentially devaluing to an extent purchases of spectrum? I guess I noticed at the June Senate hearing on the state of the wireless industry that the only service company called to testify was Comcast. There wasn't even a mobile operator at the table.
Charles W. Ergen: You bring up good points. I think those are interesting things that had to be considered. Certainly, WiFi is an opportunity and also a threat. It's an opportunity in the sense that if we were building out a network, there's a lot of areas where we wouldn't have to build out, right? Because WiFi would exist, so as long as you can combine with WiFi, it makes the buildout a lot less and you just have to cover some outside geographic areas. On the other hand, WiFi takes customers away from your network and puts some on some public spectrum. There has been some -- and there is some more spectrum coming online that's going to be available for WiFi. So WiFi is going to become an improved product with 802.n and the additional spectrum there that you're going to get. But they still have the long-term fundamental problem that it's unlicensed spectrum, so you can't have a consistency of service. And consumers are going to want a consistency of service. You're going to want to know when you're using our wireless device that it's got -- it's going to maintain a pretty consistent speed no matter where you are, and you're not going to really -- and so I find myself -- and I see a lot of people -- when I'm in a LTE area or a 4G area, I'm actually turning WiFi off and getting a better experience in LTE. I think that's where you want to get to as a wireless operator, where you want your customers to know that the best service they're going to get is not going to be on WiFi, it's going to be on your network. Then the challenge is to get the cost of your network down, so where your cost of your data is low enough such that people will accept that consistency to -- will pay for that consistency. Now that was part of the attractiveness of Sprint for us, which was, they had -- Sprint -- Sprint Clearwire has the kind of capacity to do what I just said. They have the ability to go out and create a network that will be fast enough consistently that at least where they have coverage, where they have geographic coverage, you're going to prefer that network to the WiFi. So we'll have to wait and see kind of how it develops. On the other hand, there's probably going to be people who never build a network at all and just have devices that work on WiFi and never build a network, and some customers are going to be happy with that experience. And that experience probably is going to get a little better than it is today. So they don't have any CapEx, and they'll just have a network off the public network. So we'll have to see how it all goes about. I think the government's going to look at it -- because I think auctions are such a big part of where the government is going, that you're probably not going to see a lot more public spectrum coming online because then there's nobody to pay for it. So at least for the foreseeable future, the new spectrum coming online appears to be private spectrum that will be auctioned.
Operator: Your next question comes from Tuna Amobi from S&P Capital.
Tuna N. Amobi - S&P Capital IQ Equity Research: So with regard to your upcoming negotiations, can you remind us what made your negotiations -- I know you have a few coming this year on the retransmission side. And given all the noise, the backdrop of the retransmission environment, all of the dispute, and also given the traction that you're getting with your Hopper, Charlie, do you feel like your approach to the negotiations is dramatically -- would be dramatically different today than it was, say, in a couple of years ago? So clearly, you're still in litigation with Hopper even though it's very obvious that it's been very well received both from a technical and consumer standpoint. So I'm just kind of trying to tie it together in the context of your retransmission deals that are still ahead, how your philosophy has evolved.
Charles W. Ergen: I'll take a stab in just a little bit of it. Maybe Joe or Robert want to chime in there. But as far as -- I don't think the Hopper has a material effect on retransmission consent. The train's left the station. Customers skip commercials. We kind of maybe we shined a light on it a little brighter than other people have done it. But people skip commercials. Advertisers know people skip commercials. TV as we know it is going to change. And I think where we have tried to move the industry is to go to commercials that are meaningful to customers. And so we think those are more valuable to the customer. We think they're more valuable to the broadcaster. So a part of what the Hopper does is give you the ability to target a commercial and play different commercials for different customers. We think those are more valuable, and we think people are going to skip those less. But the train has left the station for the consumer to have the right to skip a commercial. I think that's going to -- I don't think that's going to go away. And I think there might have been a lot of hype about -- from the broadcasters' perspective when the Hopper first came out. But I don't think that, that's material in any retransmission consent talks at this point in time. And then you guys may want to...
Robert E. Olson: So Tuna, this is Robert. We have retrans negotiations going on all the time. So they're going on today, they'll go on tomorrow. With regard to major programming networks, national networks, we usually don't disclose the specifics of that.
Tuna N. Amobi - S&P Capital IQ Equity Research: Okay. Do you get a sense of a lot of pushback? Or I mean, let me rephrase the question. Are you at risk perhaps of a major signal disruption of the type that we saw a couple of years ago? Or do you feel that you have enough kind of a fallback position to be able to continue to operate? And I'm talking about the broadcast networks, not necessarily the cable networks.
Charles W. Ergen: This is Charlie. I don't think there's probably a major risk to -- I mean, from a broadcast network perspective, I don't think there's a major risk -- a real major risk. I mean, the broadcasters themselves don't own that many stations anymore, right? So you're pretty fragmented in terms of -- it's good news, bad news. You've always got retrans negotiations going on. I think we have somebody down today, right?
Robert E. Olson: Raycom.
Charles W. Ergen: Raycom's down today. So they're in a lot of smaller communities, but if we add them all up, it's still -- it adds up to maybe half the size of a major broadcast network. So that's an ongoing thing for everybody. Obviously, I think -- I don't know if CBS is still off Time Warner, it is, so that's -- we end up from a positive point of view for us short term. Raycom's a negative for us short term. That will have to all kind of come out in the wash. I think the overriding thing is that obviously, that broadcasters as an industry have gotten more aggressive in terms of retrans discussions. And there's going to be more outages, which is ultimately going to lead to 1 of 2 things, it's going -- 1 of 3 things: It's going to lead to industry consolidation, or it's going to lead to Congressional action, or it's going into new technology alternatives. Whether it be to guys like Aereo who do it a different way or whether it be that people just quit watching broadcast networks, right? I will guarantee you that there'll be customers on Time Warner Cable when they come back -- whenever CBS comes back on Time Warner, they won't watch CBS as much. They'll watch some other shows because they'll realize they don't miss it or they've discovered new programming that they didn't know existed before. Or they went to the Internet and cut the cord and never came back. So all those things are going to happen. It's nothing new to us, right? It doesn't surprise us, right? And content owners are going to go where they get paid. And so they've got a product. It's got a limited shelf life. They're going to go do all the -- ask where they think they maximize their revenue. And I think what's going to happen is there's going to be mistakes made from content owners' perspective in the sense that the linear programming as we know today with a big package that averages over $1,000 a year to the content owners, as they start putting that out in different forms and it becomes more convenient for customers to go on the Internet and get it, their actual revenue has a risk of actually going down because obviously, the linear providers and the bigger packages will go down. So that's -- and how that all shakes out, it's going to be very, very interesting and some people are going to navigate that -- some companies will navigate that better than others and thread the needle a little bit better. But I think all the content revenue in the industry is probably at risk for a variety of reasons too long to go into, and for a variety of reasons where I don't think the industry quite understands how the Internet works and how consumers use it. And so you just end up with decisions that will be interesting. And hopefully, at end of the day, the consumer wins. Because if the consumer wins, we're going to try to be on that side.
Tuna N. Amobi - S&P Capital IQ Equity Research: That's very helpful. Just a quick clarification for Robert on interest and taxes. It seemed like a lot of onetime items in this quarter. So if you can help us kind of recap on the -- what would be a good run rate going forward for modeling purposes?
Robert E. Olson: Sure, Tuna. I think in our 10-Q, we disclosed that we had roughly $30 million of onetime interest expense related to debt specifically raised and then redeemed within the quarter specific to the Sprint deal. So that should not continue into future quarters. With regard to taxes, we had the favorable benefit of a settlement with the IRS with regards to years prior to 2009. That was roughly $15 million of favorable impact that was onetime in nature.
Tuna N. Amobi - S&P Capital IQ Equity Research: Okay. So what's your ETR now? Is it pretty much stable, as it were, going forward?
Robert E. Olson: It -- we've said before that it's in the 37% to 38% rate. And if you make the corrections I spoke to, you'd get there roughly.
Operator: Your next question comes from Devon Xu from Wells Fargo.
Devon Xu: I just had -- was a little bit more curious on when you think the -- just fill or kill on moving into a wireless space is given coming out of the auction, fringe [ph] deployment and some of the FCC terms on your spectrum.
Charles W. Ergen: I'm not sure I understood the question. Tom, did you get that?
Thomas A. Cullen: No. I'm sorry. Would repeat it?
Devon Xu: Yes, so when do you think the deadline is for making a decision on how you approach the wireless space, if you'd do it at all?
Thomas A. Cullen: Yes, this is Tom. We're mindful of course of the buildout requirements that came with the AWS-4 spectrum. But keep in mind, there's 2 different intervals there: One is 3.5 years out and the second is 5.5 years out. I think, given the pace of change in the industry over the last 12 months, the concentration of spectrum will probably continue well before those deadlines. What we're doing in the meantime, and as Charlie mentioned, there's a new Chairman coming into the FCC and some other changes there that we'll see develop over the next couple of months. But in the meantime, we continue to work with the vendor community in the infrastructure development around AWS-4 radios, which is shrinking one of the key intervals associated with any deployment of that spectrum. As mentioned earlier, the question came up around spectrum caps but -- and I don't know how the commission is going to deal with that eventually. But the reality is, there's been a wave of consolidation in the industry this year with Sprint and Clearwire, with Metro and T-Mo, with Leap and AT&T. So the number of holders of spectrum has naturally shrunk. And yet, the needs of 315 million Americans and growing is not going to shrink. It's going to continue to expand as they bring on multiple devices. And a younger generation, there's 70 million people in this country under 15 years old. That generation is the one that's going to be more voraciously consuming videos. So however the commission deals with it in time, the needs of the American consumers aren't going away.
Operator: Your next question comes from Andy Hargreaves from Pacific Crest Securities.
Andy Hargreaves - Pacific Crest Securities, Inc., Research Division: Just actually sort of a follow-up on that. Do you have any sense for how close to -- I don't know, their spectrum caps the wireless guys are at peak usage right now? I mean, how desperate are they for more?
Thomas A. Cullen: Well, I think it's dependent on the individual holder and the number of customers that they have. So can't you can't look at just across the board, somebody has 105 megahertz versus somebody who has 75, because one might have twice as many customers using it, first of all. Secondly, the -- in terms of the strict definition of caps, as you know, there's a growing view that different frequencies should be viewed differently in the eyes of the commission relative to spectrum depth. But again, those are the types of things that will be determined through rule-making and process, but I think, generally, there's a sense of urgency that those questions have to be answered definitively. And I'm sure that will be one of the agenda items for the new Chairman.
Charles W. Ergen: And this Charlie. There's one more variable you've got to look at, which is, you can't just turn off your spectrum -- and everybody wants to go to LTE because it's 300%, 400%, 500% more efficient than 3G or whatever the number is, right, or whatever the number you want to use so. But you can't just turn off your 2G and 3G and snap your fingers and have LTE or 4G. So that's why new spectrum is so important, because you can take new spectrum and, of course, deploy it as 4G or LTE. And then wean your customer base over a period -- a number of years, which may be 10 years or more and continue to -- with your 2G and 3G. So it's a little bit -- there's one more variable that all the carriers have to go through in terms of how they deploy and how they can modernize their network. So that's obviously Sprint in their network vision, that's a difficult thing -- they were so much spectrum limited for them to deploy LTE is very difficult, which is why Clearwire was so important to them, because that was virgin spectrum for them to be able to convert to LTE. So lots of variables that you've got to consider beyond just the spectrum cap.
Andy Hargreaves - Pacific Crest Securities, Inc., Research Division: Okay. And then can you just explain a little bit more about why the video you consider to be a strategic advantage as you look to get into wireless? Because it seems like on one hand, you're saying like a video is kind of -- the profit opportunity is declining, and that as we move to the next generation, the core competencies of running a network and video programming seem more likely to diverge than anything.
Charles W. Ergen: Again, I don't know that the video opportunity -- profit opportunity is declining in video. I think it is a very mature business as we do it today at DISH, which is a linear package of hundreds of channels that customers pay on average over $1,000 a year. That's a mature business, right? And the profit opportunities there are more limited. Having said that there is tremendous opportunity for our content partners and for DISH to do video outside the home on a wireless basis, right? So what people would refer to as TV Everywhere that there's great profit opportunity for content owners and us in that particular situation, particularly as you get into more targeted advertising and things you can do. So that's why a lot of the technology we work on all kind of comes together in that form. To do it outside the home, the only way I can think of to do it is in a wireless manner, you certainly can't haul a cable around while you're driving a car down the road. So at least not that I know of. So if you do that in a wireless methodology, then you've got to have spectrum to do it. Second thing is, that video consumes a lot of spectrum. So if you look at all the 0s and 1s and bits you're using, the vast majority of them are going to be video. I think the majority of bits today are video. It's probably going to be 80% or 90% of your bits in future are going to be video bits. So that would be a tremendous advantage for somebody who understood video and had relationships with content owners and technically knew how to make those content owners get more money and be more profitable. That all works, right? And that's why we think that's the differentiating item.
Operator: Next question comes from Craig Moffett from Moffett Research.
Craig Moffett - Moffett Research, LLC: I wonder if I could return to Tuna's question from a short time ago. You have a Disney renewal coming up in September. Can you talk about what your objectives are in renegotiating the Disney contract? And how smoothly do you think that negotiation will go?
Charles W. Ergen: This is Charlie. I think, obviously, Disney's been a good partner for us for a long period of time. And obviously, our motivation would be to get a fair price, to be treated fairly as the third-largest video provider and our customers to be treated fairly and to get increase. And I think Disney's perspective is increase the amount of money we pay them. So there's the way to thread the needle there. There's rights that we don't have today that we'd like to have. Those are valuable to us. They'd like to charge us more money for them. And in both sides -- neither side has to have the other side, right? We're not -- Disney's not going to go out of business without the DISH Network and vice versa. There's a -- if you take a really long-term view of it, because the sports are so expensive, if you take a really long-term view of it, and because there's so many different -- because most of the linear providers today are doing exactly the same thing, for example ESPN is exactly the same on DISH as is DIRECTV or on Comcast, if you take a really long-term view of it, somebody sometime may decide that sports isn't something they have to have. And therefore, they can have a materially lower price for customers. And while they'll lose customers initially, they will gain customers long term, they'll be back in a growth pattern for gaining customers. So there could be a day when strategically, companies just can't get together, where they go opposite directions and they both have strategies that work for them, and we're prepared to go either way. I mean, I think that's where you have to get yourself in position. So obviously, we'll work first and foremost to find a deal with Disney that makes sense for our customers. If we get that deal, we'll do it. If we don't get that deal, we'll part ways. Simple as that. So I'm optimistic that we will get a deal done with Disney. We've had lots of discussions about it already. But you never know till you sign the final agreement. Joe, I don't know if you want to add something to that? Because you've been more involved than I have.
Joseph P. Clayton: We are engaged. I was in New York last week. They were here this week. We're moving, I think, to a favorable solution for both parties. That's the objective.
Operator: Next question comes from Jason Armstrong from Goldman Sachs.
Jason Armstrong - Goldman Sachs Group Inc., Research Division: Maybe just 2 quick ones on rate hikes/ARPU. I guess it sounds like the second quarter had a tough compare as it related to some of the events. But going forward, should we expect the video ARPU left to be closer to the $5 rate hike that you put in, so sort of an acceleration as we move into 3Q and 4Q? And then maybe looking at 2014 sort of along the same lines, you're probably far enough into this to know whether large rate hikes every 2 years is a better strategy than smaller rate hikes every year. I'm just wondering, as you think about the forward, which strategy makes more sense based on what you have observed [ph] so far?
Robert E. Olson: Jason, this is Robert. With regard to your first question, we will have probably less headwind in the third quarter than we did in the second quarter. As I mentioned on my opening remarks, we had some pay-per-view headwind year-over-year that should go away. With regard to your question of whether we'll hit the $5 price increase, we'll get closer. That $5 price increase was not applied to every customer. We had talked about this before. Customers that had joined us within the last 12 months did not see that price increase until their 12-month anniversary. Also some of our international packages were raised by different amounts. So it will be closer, but it won't be the $5. With regard to your second question on the once-a-year pricing versus every-2-year pricing...
Bernard L. Han: I think -- this is Bernie. I think 2012 was really an anomaly. I think our path had been to do a price increase every year, for a number of reasons, largely a big billing conversion that we did in 2012, we skipped that year. And I think as we've alluded to in past discussions on this call, that's probably something we'd lean against doing again.
Jason Armstrong - Goldman Sachs Group Inc., Research Division: So another rate increase the beginning of 2014 and get back to sort of an annual schedule, would be the concept?
Bernard L. Han: That's correct.
Operator: Your final question will come from Walter Piecyk from BTIG.
Walter Piecyk - BTIG, LLC, Research Division: Just want to go back to your comments on using the satellite. If you are able to get LightSquared and use their satellite, does that reduce the need to use the satellites you have from your existing spectrum? And then also on the H-Block, you had mentioned, I guess there was a filing last week from your meeting at the commission talking about not wanting to bid on it. Are there specific reasons or are there things that the SEC could do that would increase your interest in bidding in that spectrum?
Charles W. Ergen: It's Charlie. I think, I mean, obviously, we kind of fought and lost for some of the things that we think the SEC could have done to make that spectrum more valuable to us. Doesn't mean we can't revisit some of those things with them, but I don't think we wouldn't bid on H-Block. I mean, I think it's less interesting to us than had they done some of the things that we put in our filings before. It's probably more interesting to Sprint. It's probably really only interesting -- I mean, if you look at it from a big picture perspective, the way H-Block is configured today and based on the rules, Sprint pretty much got the rules that they wanted for H-Block. So I think it's very, very interesting to Sprint. And they're probably the one that's most likely to prevail there. About -- with the first part of the question -- oh, the LightSquared, I think that satellites are an important part of what you would do from a communications link and from handsets, I think an important part. I think we wrote -- we realized that we have today a very good asset in T1 in terms of the ability to cover the spectrum that we have in S-band today, that's why we wrote down the other satellites, because they're not really needed to do that. LightSquared obviously has some satellite assets that do something similar, although we don't really know those satellites very well at this point. And whether you -- and how you -- but we do think that you could use those satellites in conjunction with the existing satellite assets that we have and do some interesting things.
Walter Piecyk - BTIG, LLC, Research Division: Could you get rid of the existing ones, Charlie, and just use the LightSquared ones? Meaning, if you wanted to do something else with the spectrum, would you need both?
Charles W. Ergen: Technically, I would say you probably -- technically, you probably -- depending on what you're doing, you wouldn't necessarily have to have both technically. From a regulatory point of view, that's a different question. And number two, you might come up with ways to do more things, in which case, you might need more satellite assets, so -- but if you just kind of did the world as we see it today, you wouldn't need all the satellite assets, which is again, why we wrote down 2 of the satellites this quarter.
Walter Piecyk - BTIG, LLC, Research Division: Got it. And Rich Greenfield wanted to hop on with a follow-up question. He is going to take my second question.
Richard Greenfield - BTIG, LLC, Research Division: Charlie, I was just curious. You've spent a lot of time before talking about doing something over-the-top. Intel's been discussing a launch sometime before the end of the year with a non-facilities-based MVPD-like service. Wondering where you stand on that? What's your appetite for doing something like that, whether with sports or without sports?
Charles W. Ergen: Yes, I mean, we certainly talk to all our major content providers about over-the-top services, just as probably everybody has. And we haven't found a lot of support for that kind of service. And it's not necessarily our first choice of things that we want to see happen. Obviously, over-the-top is -- would be available probably to multiple people, probably will be over time available to multiple people, and that's going to bring some challenges to our current existing model. So we certainly understand over-the-top. We certainly are technically prepared for over-the-top if that becomes something that content owners want to do. But it's not something where we are trying to be the leading advocate to go change the world to over-the-top. I think Intel -- I think people who are in the business today are more inclined to do that, such as Intel. To the extent that they are successful, I would hope that our content providers would give us the same rights and we'll go compete. But we haven't seen a great critical mass of content owners willing to do that at this point.
Thomas A. Cullen: Okay. That concludes our Q&A with the financial analysts. And we thank you all for joining us today. Now we've got a little more time for members of the media to ask questions.
Operator: [Operator Instructions] Your first question comes from Alex Sherman from Bloomberg.
Alex Sherman: Charlie, I have a few questions for you. The first one is, you mentioned doing a partnership with Sprint again. And you also mentioned potentially doing an acquisition with T-Mobile, sort of being the only one left. And I'm wondering if you can just explain a little bit about, what makes more sense for DISH? Or maybe which one of these options is more likely? Just any sort of detail that you can give on, why you might do one instead of the other would be helpful.
Charles W. Ergen: I don't have preconceived notions about it. I would say a couple things. One is obviously T-Mo is a company who, if you want to go into the wireless business, they come kind of ready-made to go do that, right? And their network upgrade is much, much simpler than Sprint's. And so if you want to enter the marketplace, you'd be in fourth position. You have to look at that and see whether you strategically can get there. T-Mobile has got a lot of momentum now because of Leap's inability to do things. And with Sprint being tied up in the merger, their inability to kind of move forward. That's all going to change, right? So what does T-Mobile look like when Leap is now AT&T and Sprint is now -- and Clearwire are now under SoftBank's management. That may be a tougher challenge and may not -- it may be a challenge that we wouldn't feel comfortable taking on. On the Sprint side and Clearwire side, we just know those companies really well. We know their networks really well, realizing we went through full due diligence on them. So we know we fit pretty well with where they might want to go. And I don't really know the SoftBank executives at this point, but they seem very innovative and they seem very creative, and they certainly seem to be more aggressive maybe than some of the other people in the wireless business. So I think there's a lot of similarities between the way we think and perhaps the way they think. We certainly gained a lot of respect for them. They bought -- they basically won an asset that we'd like to have. We gave it our best shot to get it. And sometimes, your best isn't good enough, but their best was better than ours. I like those kind of people. I like people that are better than us. I want to hire people that are better than us, and I like to work with people that are better than us. So that's why I say indirectly, that might be an interesting fit for where we want to go. It's not our only option -- yes?
Alex Sherman: The second one I had for you. I just want to give you a chance to sort of defend yourself here. Because I know Harbinger is basically accusing you of fraud by skirting the rules a little bit by buying their debt yourself and then potentially combining it with DISH. And I wanted to give you a chance to just sort of respond to that accusation.
Charles W. Ergen: Well, I mean, I think that all I can tell you is that I personally followed all the rules. I think DISH has followed all the rules. We'll respond in the appropriate way, and we will certainly put -- I will certainly personally put my track record and what I've done. And I will put the flash -- I will put the light on that. I'll put the light on DISH, and we'll put the light on Harbinger and Mr. Falcone. And we'll let the courts and the public opinion decide who is fraudulent and who is not.
Operator: The next question comes from Liana Baker from Reuters.
Liana Baker: Charlie, you suggested in your comments that a network partner would be preferable and that T-Mobile would be your only option for M&A on the wireless side. Should we read from that, that you've given up on M&A, or had talks with T-Mobile that didn't go well? I'm also wondering if you have a deadline that you set on yourself on your wireless strategy.
Charles W. Ergen: We don't have a deadline. I mean, I think that you -- there may be events that put an obstacle that we just can't overcome. And that is more likely what happened from a regulatory point of view, from a government point of view than it would be from the marketplace. But we don't have any deadline, and we're going to continue to -- we continue to see that as a potential strategy. I disagree with all the other comments you made before that, right? I don't -- we still think our options are all open. We're not discouraged by what's happened in the wireless business. That it hadn't really been anything totally unexpected there. We got dealt a bad hand with regulatory delay. But life doesn't always go in straight lines and it doesn't always go exactly the way you want it. And sometimes, you have obstacles. And what separates companies and people are those people that overcome those obstacles. And so we'll try to continue to overcome those obstacles, unless the obstacles are so great we can't [ph] think we can, or we come to conclusion that we can't. And we haven't come to that conclusion yet.
Liana Baker: Is there any indication that T-Mobile would be interested in working with you, or any color on that?
Charles W. Ergen: Well, I think you'd have to ask T-Mobile. What I've seen from their public comments is that they like their U.S. business, but they would exit it, for the proper consideration, they'd exit the U.S. business. Clearly, they were willing to do that with AT&T. Clearly, they had discussions with Sprint from public documents, so -- but where they stand on where they are today, I think they've got a lot of momentum and wind behind their back, at least for a short period of time, and you'd have to ask them.
Liana Baker: And then you also spoke highly of Sprint. And you said that you could still work with them in some way. Is that a network-sharing deal or some other kind of option?
Charles W. Ergen: I think -- look, I think there's a lot of options to working with Sprint. I think they're pretty innovative. But look, we did due diligence. We like their management team. We like -- we thought they had tremendous spectrum of portfolio with Clearwire. They just had a balance sheet problem. They were capital-constrained, and that's been alleviated by the acquisition of SoftBank. So they're -- it's a great asset. And I'm jealous that SoftBank's got them. But on the other hand, we know that asset pretty well, and we know we fit pretty well with it.
Operator: Your next question comes from Shalini R. from Wall Street Journal.
Shalini Ramachandran: I just wanted to clarify. From your comments on this call, it seemed clear that perhaps you're more focused on figuring out wireless partnerships and/or network-sharing deals more so than looking to a merger with DIRECT at this point. Is that a correct reading of what your thinking is right now?
Charles W. Ergen: We think -- I think, we're prudent. We look at everything, we think of everything, right? And look, there's not any question that putting DISH and DIRECTV together makes a lot of sense, right? I think that you have really -- but you have a couple issues there. One is we're at slightly different strategic directions, we're not sure which one's right, right? And secondly, you'd have to be pretty comfortable from a regulatory point of view that ultimately, regulators would say that, that's an achievable thing to do. And if you -- I think the events will happen. There may be consolidation in the cable industry that might drive you together. There could be things in the wireless industry that might drive us together. Or we might go our separate ways, right? But I think that there's no question that certainly -- let me put it this way, all I can do is speak for DISH. At DISH, we would certainly look at DIRECTV, and putting DISH and DIRECTV together, because we think that's obviously something that makes a lot of sense for -- strategically, right? So we are obviously going to look at that. We obviously would look at that. That doesn't mean -- we look at a lot of deals that don't get done, right? Sometimes it's personality. Sometimes you can't agree in the economics. Sometimes it's regulatory. Sometimes it's all of the above. We haven't ruled out anything. But we generally don't rule anything out, right? I mean, I think that's prudent management. And look, if you just looked at -- if you just wanted to create short-term value, that would be probably your #1 option.
Operator: Your next question comes from Andy Vuong from the Denver Post.
Andy Vuong: Just 2 quick questions. How far away is DISH from perhaps just shutting down the Blockbuster brand, or if that's even a consideration right now? And then was wondering if you guys might be able to provide more detail on the Hopper, and just how many of your subscribers have the Hopper and the Hopper with Sling? Or if you can offer a percentage of how many are still on the legacy systems and how many have switched over to the new box?
Joseph P. Clayton: All right. Andy, Joe Clayton here. In terms of Blockbuster, Robert went through the store count numbers. We ended the quarter, second quarter at 450. We're going to close another 100 stores between now and October. And we'll continue to look at the business on a store-by-store basis. Obviously, the lower the number, we're getting close to being profitable on the remaining stores. So we'll continue, as we stated in the past, to look at the business on a store-by-store basis.
Robert E. Olson: And Andy, this is Robert. With regard to your question on the Hopper, we haven't disclosed the Hopper percentages, either for our base or for our new connects. However, it has been growing steadily for the last year, and we're quite happy with the level of Hopper take rate.
Joseph P. Clayton: In fact it's...
Andy Vuong: I think last time, you guys mentioned, I think in January you mentioned there were maybe like 2 million homes with the Hopper and Joeys. You guys can't update that at this point since the Hopper...
Robert E. Olson: Andy, this is Robert again. That number included Hoppers and Joeys. So that was the total number of receivers. That was not a number which was -- that was not the number of customers that have the Hopper.
Andy Vuong: Okay. And just to follow-up on Blockbuster, I mean, it continues to bleed a little bit of cash. Do you guys have sort of like a time frame for when -- because when you first bought Blockbuster, part of the plan was to maybe sell cell phones in these stores. And now DISH really is still probably a couple of years out from doing that. Do you have sort of like a deadline for when you hope the business would turn around, and longer term, I guess, to keep it in the portfolio?
Robert E. Olson: Andy, this is Robert again. I think I mentioned on the call is that Blockbuster is a seasonal business. It does better in the first and fourth quarter. The fact that the second quarter was lower just indicates that -- some of that seasonality. We largely think of this as a breakeven business at this point.
Operator: Your next question comes from Jeff Williams from Satellite Business News.
Jeff Williams: As Congress looks at the expiration of some of the satellite TV laws, provisions next year, what are your preferences for what you'd like to see happen with that? Are you in favor of a straight reauthorization, or are there -- is there sort of a wish list you'd like to see come through?
R. Stanton Dodge: Sure. And this is Stanton. Top of list, hands down, which is consistent with a lot of the questions and responses on this call, is meaningful retransmission consent reform. And we put forth a plan that we think will level the playing field somewhat. Because as you know, today, it's an unfair fight. Back in the days when it was one cable company versus one broadcaster, there's somewhat of mutual assured destruction. Today, you've got one broadcaster playing 3, sometimes 4, MVPDs off against each other and demanding several hundred percent rate increases every time the negotiations come up. So we put a plan on the table, backed with Time Warner Cable and other folks in the industry, that would allow us to import distant signals during takedowns, which admittedly is not a perfect solution because you don't have local advertisements, local news, et cetera, but at least it would allow consumers to get -- keep access to their network programming during a takedown. So the consumers are less in the crosshairs and it also levels the playing field a bit. But hands down, that's our #1 hope, is it's a meaningful retransmission consent reform will get passed. We think there's some traction for that. Just by way of example, I think back in 2010, there were 10 takedowns. In 2011, there were 50. Last year, there were 100. As everyone knows, CBS is down on Time Warner right now. It's a problem. It's an escalating problem, and someone needs to do something about it.
Jeff Williams: Are all these filed as use giving you any sort of additional leverage in convincing lawmakers that you guys are on the right side of this issue?
R. Stanton Dodge: No, but we're hope -- it's causing folks to take notice, and it's a real problem.
Charles W. Ergen: We've never had leverage on anything in Congress. So I'm happy that somebody asked the question, but we've never had any leverage. We just try to make comments and arguments, right? We're trying to make comments into arguments and look, we started with retransmission ideas for a level playing field back in the very first authorization, the very first home satellite -- when we first did loc of [ph] local. We were the champions of loc of [ph] local. We worked on it single-handedly for a couple of years before other people joined the party, and we saw the risk of retransmission consent at the time. And our position hasn't changed over the last 10 years. It's only gotten -- obviously, many of the things we predicted have happened. So the consumer is the one that gets hurt. And if Congress hears from the consumers, they're there to serve their consumers, they'll take it seriously. If they don't hear from consumers, they won't take it seriously. And I think they're hearing, I imagine they're hearing from consumers right now, because there's a couple of takedowns now. I think both us, DIRECTV and Time Warner all have takedowns. And that's pretty unusual. And that's probably going to become the norm.
Operator: Your final question from the media comes from Erik Gruenwedel from Quest [ph].
Erik Gruenwedel: I had a question back to Blockbuster. Wasn't -- Blockbuster @Home, wasn't that sort of patterned after an over-the-top service? And Charlie, you made comments that you think the OTT business is not really in the best interest of DISH. But wasn't Blockbuster @Home going down that path?
Charles W. Ergen: I don't know that Blockbuster was going down that path. Blockbuster @Home is really a library of movies. So it's tens of thousands of movies for on video-on-demand that people can get. So I think it's a little bit of a different animal. Joe, do you want to maybe...
Joseph P. Clayton: It's 15 linear digital channels, so it's really a movie service. But we like the Blockbuster brand and the name, and we've had a great deal of success with the package.
Charles W. Ergen: Yes. I kind of view OTT as live TV on the Internet, right? And if you look at OTT as a library of product, whether it be shows or movies, I mean, I think that's already happened. I think all the major providers are doing that from a catalog perspective. But it would be -- the real dynamic that would change is when live TV becomes -- live TV on a non-authenticated basis became available, that would be the game changer for the industry. And for the program content providers, I think content providers generally have looked at it and believe they would make less money in that particular model than they do today, but that might change, that might change for some of them. Obviously -- make sure you understand authentication. Our customers can watch live TV outside their homes for much of our product as long as they are, in fact, subscribers to that product. Then they get authenticated for outside the home. But they have to be a subscriber to the product. I think OTT might be a situation where you could view it inside or outside the home without having to buy a package of programming, more ala carte kind of stuff. Look, the consumer's ultimately going to drive that. And long term, I think they'll get more choice. And so we have to be prepared for that. We have to be prepared technically and everything else to do that. And that's kind of why we looked at it. But we didn't get as much -- we didn't get much -- we got very little enthusiasm from the content owners when we looked at it last year. They may have changed their mind, we haven't revisited that. But we got very little enthusiasm. Thank you, all. Thanks, everybody.
Operator: Thank you, everyone. This concludes today's conference call. You may now disconnect.